Unknown Executive: Thank you for waiting, ladies and gents. Now we'd like to begin the [indiscernible] of Sony for the first quarter of fiscal 2014. I would like to thank you very much for joining us despite your very busy schedules. My name is Nakami [ph]. I will be acting as your emcee. And I would like to introduce our speakers today, participants today. Seated in the middle is the Representative Corporate Executive Officer, CFO and Executive Vice President, Kenichiro Yoshida; here from your side on the right is Corporate Executive and SVP in charge of Corporate Planning and Financial matters, Hiroki Totoki; then we have the Vice President for Corporate Control and Senior General Manager, Kazuhiko Takeda. 
 Today, first, Mr. Yoshida will give you an overview of the results of the first quarter on a consolidated basis and also the forecast for the full year results for 2014. Then we will spend time for questions and answers. All together, we plan to spend 1 hour for questions. 
 And Mr. Yoshida, you have the floor. 
Kenichiro Yoshida: Good afternoon, ladies and gentlemen. My name is Yoshida, CFO, and thank you very much for joining us today. I will talk about these 3 topics, spending 10-some minutes. 
 First, the fiscal '14 first quarter consolidated sales increased by 5.8% year-on-year, JPY 1,809.9 billion; and the consolidated operating income, JPY 69.8 billion; and the net income attributable to Sony shareholders is JPY 26.8 billion. 
 And you see segment results here. And this slide is not in your handout, but I showed this to you last earnings announcement. It shows the consolidated sales and operating income without the Pictures, Music and Financial Services segment. Fiscal '12 showed an operating loss of JPY 0.7 billion, but this loss would have been JPY 239.8 billion if we had excluded the asset sales and the measurement gains we recorded that year. This means that on an operational basis, we have recorded a large operating loss for the past 3 fiscal years. 
 On the far right, you'll see that we record a JPY 6.8 billion of operating income this quarter, but this includes the onetime gain of JPY 14.8 billion associated with the sales of real estate in Gotenyama this quarter. Therefore, on an operational basis, the result of our Electronics loss segment, including Corporate expenses, was a loss of JPY 8 billion this quarter. Such a loss of Electronics is improving, but not has been eliminated, and we have aggressively implement our restructuring initiatives. 
 Now I'm showing you the full year forecast. The forecast remains attuned from the May forecast. Now the forecast for each segment is shown on this slide. 
 In the Mobile Communications segment, we have revised downward our operating income forecast by JPY 26 billion to breakeven, and this downward evolution was offset by upward revision of the Devices and Game & Network Services segment. 
 This shows an operating income forecast for the Pictures, Music and Financial Services segment are unchanged from the May forecast. But last time, we have disclosed numbers forecasted by each business unit in July. I will explain the current situation of each segment in a moment.
 Now this slide shows the costs incurred to transform our business structure so far. This quarter, we incurred JPY 25.5 million, and there is no change to our May forecast for costs to total JPY 135 billion this fiscal year. Headquarters and sales company's restructuring will begin in earnest going forward, and the bulk of the expenses will be incurred in the second half of the year. 
 Next, PC business. Our exit from the PC business is progressing according to the plan. Our forecast for JPY 80 million in losses associated with this versus this fiscal year remains unchanged from the May forecast.
 Next, I will talk about the situation in each of our business segments. The upper-left portion of the slides show actual results for the first quarter, the lower-left shows the forecast for the full year, and to the right side gives the explanation for each. 
 First is the Mobile Communications segment. During this quarter, we increased marketing and R&D expenses, but the unit sales of smartphones did not increase, resulting in a JPY 2.7 billion loss. For the full fiscal year, cost reduction will not be enough to cover the significant decrease in expected sales of our midrange models. Consequently, we have revised downward operating income by JPY 26 billion to breakeven. But based on the current quarter's financial performances and the downward revision in the full year forecast, we began to review the midrange plan for this business in July. It is possible that this review might result in an impairment charge against various assets, including goodwill. We will deploy country-specific strategies, maintain strong relationship with carriers and strengthen and maintain our position as a premium brand, all in an effort to build a business foundation which generates profit. We believe that it is important to take action that prioritizes profitability over chasing scale in order to reduce the risk associated with this business going forward. We have already began to review our product lineup and the number of models in our portfolio.
 Next, for the Game & Network Services segment. It posted nearly double the sales compared to the same quarter of the previous fiscal year, and operating result improved by JPY 20.7 billion. In the Network Services area, more than 1/2 of the people who purchased PS4 have subscribed to a PlayStation Plus, a fixed fee-based Network Service, and this trend is continuing. 
 We have revised upward the full year operating income forecast for the segment by JPY 5 billion due to the strong sales of PS4 and PS4 hardware cost reductions. I believe this segment is at the stage where it needs to drive unit sales of the new PS4 platform. We are managing our Network Services together with Game. And while controlling cost is important, we believe that there still is -- they are still in an investment phase.
 In the Imaging Products & Solutions segment, sales for the quarter decreased, but operating income increased, mainly due to SG&A reduction. The full year forecast for sales was downwardly revised by JPY 10 billion, but operating income is expected to remain unchanged from the May forecast. 
 For Home Entertainment & Sound, we have disclosed the financial results of the TV business, which accounts for most of the Home Entertainment & Sound segment, and they are shown at the bottom of the graph on this slide. During the quarter, sales and operating income for the segment as a whole increased year-on-year. Television sales were at -- was at JPY 205 billion, and operating income was JPY 7.9 billion. The forecast for operating income of the segment as a whole remains unchanged from the May forecast. 
 On July 1, Sony Visual Products Inc., a new company was established. The 3 objectives for the creation of the separate subsidiary remains unchanged. One is optimization of cost; two, strengthening of our ability to adapt swiftly to changes; and three, increasing accountability of management and increasing future options. 
 This slide, which has not been distributed, shows the trend in quarterly operating income for the TV business. You can see that we recorded operating income in the first quarter of the previous fiscal year as well. We have revised downward our unit sales forecast for the full year this time, and I have made it clear to the management of the new TV company that I do not want them to rely on a stretched bills clause. We believe we can manage the impact of this revision in units through cost reductions. However, since we do not control the market, we continue to consciously monitor this business. We will not chase scale, and we'll work to improve our profitability by adapting to the competitive environment of each region. 
 Now Devices. The sales in the Devices segment decreased, but operating income increased year-on-year, and we revised upward our full year forecast for operating income by JPY 20 billion, as demand for image sensor for smartphones, including from Chinese manufacturers, has increased starting in the second quarter. 
 And the batteries business, the rebuilding of which has been called for. The business is steadily improving, and the operating results for the quarter were close to breakeven. 
 The film business. The Pictures sales and operating income for the quarter increased year-on-year. The full year forecast remains the same as the forecast we made in May. 
 In Music business, here, sales and operating income for the quarter increased year-on-year. The fiscal media market in Recorded Music is shrinking, but we are offsetting that by diversifying our revenue sources. In terms of Music Publishing and Visual Media and Platform, our full year forecast here remains unchanged. 
 Financial Services. Sony Life is expanding the posted amount in-force, and so we are not changing the full year forecast. We entered into an agreement to sell the land on which this headquarters building stands, which Sony currently owns, to Sony Life for JPY 52.8 billion. And with the sale, we have -- we will have obtained funds that we would be able to use for various initiatives in strengthening our Corporate structure. And as far as Sony Life is concerned, by owning the land and the building, the land -- the building has been owned, by the way, by Sony Life already. They obtained the ability to manage both the land and building as one going forward. 
 The Financial Services -- oh, the financial, sorry, structure of the company, although this slide is not in your handout, this shows the balance sheet for consolidated Sony, excluding Financial Services. Now as a result of our paying off the Corporate bonds and the syndicate loan in June, interest-bearing debt was reduced by about JPY 230 billion compared to the end of March, and it was JPY 1,015.8 billion at the end of the year, and we exceeded or improved Sony's financial structure. And let me conclude by showing here again the forecast for each business segment. By the way, in late November, we are going to hold an Electronics Investor Day. Details will be informed to you at a later date. Thank you very much. 
Unknown Executive: Now the floor is open to your questions. Those of you with questions, please wait for the microphone for it to be brought to you, and please identify yourself by stating your name and affiliation before asking the question. For the questions that are asked in English, it will be interpreted consecutively into Japanese and then answers will be given in Japanese. [Operator Instructions] So those of you with questions, please raise your hand. In the second row, in the middle section, please. 
Masahiro Ono: Ono of Morgan Stanley. I'd like to ask you 2 questions. First, the overall income this time exceeds the market's expectations substantially, so the first quarter numbers per se -- and how would the first quarter result compare to the budget? And I understand the first quarter numbers may not show that line sufficiently in terms of comparison budget but the operating income, JPY 140 billion for full year. Now in terms of progress over progress, what's your impression? And how would be the differences from the May forecast to the current state by major segment? Do you think the business so far has been very good in a major area? Or are there any areas where you would have to incorporate your further risks? What are the segments in this respect? 
Kenichiro Yoshida: One by one? Shall I go one by one? 
Masahiro Ono: Yes. 
Kenichiro Yoshida: Thank you for the question. Just as you mentioned, just looking at the numbers of first quarter results and how that compared to the budget, that comparison in report may not have much to discuss because, for the past 10 years or so, looking back, we have achieved our budget there during the first quarter. So we should look on the way of -- for formulating budget, and we have to improve on that rather. But now, the state of progress. The Mobile Communication, we conducted a downward revision, and the we have to carry out a drastic review. About the Game business, we had expectations, and the business is expanding as we expected. And about TV business, at this point in time, we see that the possibility of achieving the positive turnaround is heightening, and we should achieve it. And in fact, in the past 10 years, we incurred loss in TV business, so we will closely watch the market trend, especially in China and Latin America. The market environment may not be fully favorable. Therefore, we will follow this situation very closely and cautiously. And about the Devices business, we've had the high expectation, and there is a high likelihood that we will be able to achieve the level we expected. About the Pictures, Music and Financial Services, our forecast this time is unchanged from May forecast. The progress is as we expected. 
Masahiro Ono: The second point. This is -- Mr. Yoshida mentioned about the Mobile business. When you announced the full year earnings, the market has the reaction that the 50 million sales units would be too optimistic. With the income of JPY 26 billion too optimistic. And you decided to revise downward this time. And then you may see the possibility of repairment risks. Now you revised downward to breakeven from this JPY 26 billion and to a large extent. Or do you think you have incorporated all the risks you could foresee? Or what are the -- what other risks or variable factors which may remain to see? What do you feel about it, whether you have covered all the risks or there may be some? And also update in the MRP, looking from outside, when would you come up with the new business model, a new MRP? What's your image about the time line of a revised MRP? 
Kenichiro Yoshida: Well, at this time, we revised downward both the sales units and also the operating results as well as the possible risks of the impairment charges, and your question has to do with what other risks which may remain. Now in terms of operational risks, we have read in and incorporated most the risks that is. As such, risks have surfaced during the first quarter. So going forward, what are the most important aspects? That is to change the major inactions. Since I became CFO in April and after the earnings announcement particular, I had a frequent meeting with the executives and management of Sony Mobile. And rather than pursuing the global scale, shift the direction. And as we mentioned in the past -- or in a country like Japan, we have a strong relationship with the carriers, with high brand image, and we can achieve profit, and we should increase the numbers in the market as such. So we should shift the direction. And the product lineup deployment for the current fiscal year has already started, and there may be some time lag before we introduce some changes there. And about the timing of the MRP review, we are trying to conduct this as quickly as possible, and that's what -- that's all I can say at this point in time. 
Unknown Executive: Do we have any other business question? Yes, in pink shirt, in the front row, please. 
Kota Ezawa: From Citigroup Securities, Ezawa. I have 2 questions. One is related to Mobile. You have carried out a downward revision, so you can compare that to the original plan budget. But at the smartphone business, what is not doing well? This, the question that I would like to ask. Earlier, you talked that for our different regions, some are not doing as well. Is it due to the market environment? Or is it that the price strategy or the competitors' strategy were not sufficient enough to start with, and that had sort of surfaced? Is that the reason? Can you give us some analysis of that? And you will be focusing on the region, as well as product lineup. And including the possibility of the impairment charges, now if you're going to focus, what would you -- which region would you look at as a possibility by showing competitiveness? Is it going to be the mature nation? Or is it the emerging nations or developing nations? Or is it difficult in the emerging -- the developing nations all together? What is the situation? 
Kenichiro Yoshida: Concerning the product, well, recall, the value line, the relative fee in expensive models had done worse than we had anticipated. For country, emerging nations, more or less, had stumbled this with the value line. In the future, which would be the area where we would be more active is being discussed in the regional strategy we are considering. So at this point of time, I will not be able to give you a definitive answer. But as a direction, the area with the firmer responses from the carriers may be better as far as impression goes, but we have not made a decision yet. So we have not decided which country yet. Concerning the possibility for impairment of the asset, that would give us an image that you are trying to contract this business. However, this Mobile business cannot be avoided as part of your important business. 
Kota Ezawa: Have you already found a balance or equilibrium? Or are you losing sort of the sight of the future of Mobile? Do you have the idea about where the landing could be? 
Kenichiro Yoshida: Well, we are now going over the review of the MRP, so we do need to find out which direction we should pursue. Next is regarding TV. There may be a profit, but there are some intransparency regarding the future, uncertainty for the future. I believe that there are some changes in your explanation. You -- I think that you want to leave as much options as possible. In the past MRP, although it was not a core business, but it was positioned as an important business. That was explanation given by the corporation. 
Kota Ezawa: And then you're now talking about more options available. If there are changes leading to such a comment, could you give us what the changes may be? 
Kenichiro Yoshida: The TV business. 
Kota Ezawa: So what kind of possibilities would be there? If certain things happen, what would be your options? 
Kenichiro Yoshida: When it was -- sort of our subsidiary was established, we hoped to gain more options available, but turnaround to profit may not be the objective in itself for TV. But after 10 years of loss, that has to be the objective for this year, and the achievement of that turnaround would be the basic premise to carry on in the future. 
Unknown Executive: If I can invite the next question, in the first row, your hand. 
Eiichi Katayama: Katayama, Merrill Lynch. Firstly, you gave us the new clear forecast by segments, and the JPY 140 billion is the number we have. I think you've included JPY 50 billion risk also, and that includes also this business? And the Mobile has been reduced downward by JPY 25 billion. Is that part of that risk? So what about this JPY 50 billion, the numbers? Have you made changes? 
Kenichiro Yoshida: Mr. Takeda will answer that question. 
Kazuhiko Takeda: Yes. Let me answer that question. So the segment reports are made earlier. And for Mobile, we decided to revise the numbers downward, but for Game and Devices, upward revisions were made. So as far as Mobile is concerned, headquarters have taken some risks, and that risk is now being introduced. But the future of the interest business, the environment is going to be severe. We assume that there'll be visibility. And therefore, at the headquarters level, the similar amounts of a risk will be budgeted going forward. 
Eiichi Katayama: About the position of the risk, risks by the business segments, for Mobile, JPY 26 billion. So to the extent the number is down, that's exactly the amount of risk that you are looking at. 
Kazuhiko Takeda: Yes. 
Eiichi Katayama: And secondly, about Mobile business. 3 months ago, Mr. Yoshida, you indicated the goodwill by segment. And 3 months ago, you said that you removed all of them as much as possible. Now in terms of the Corporate risk now, the Mobile risk is JPY 26 billion, but you've been looking at that level of risk already. But because you take this impairment so frequently, it's as if that you think it's good to take impairments. That's my question. But it's not too long ago that you stabilized the Mobile. And if you have to make impairments again, then the profitability of the Mobile business may not improve. In other word, in terms of the current situation, are you going to have to take the impairment? How much unit -- how many units of phones you may be selling? What's the likelihood of impairments that you'll be taking to improve the business? You are changing all the actions and measures you are taking in terms of regions as well. But in 3 months, you are decreasing the numbers, and earlier you said there would be no impairment. But now you are talking about impairment is likely. Why are you making these changes? 
Kenichiro Yoshida: Yes. And so it's true that in 3 months ago, in the earnings release, I said that we did not think that there will be a large goodwill impairment. And today, in our presentation, we changed the position, and that's true because there are 3 triggers, 3 things that triggered this. First of all, in the first half -- quarter, equally setting down the value line products in the business. So it's much lower than our assumptions, and we lost money in the end. So that's 1 thing. And including the forecast at the time, the sales forecast for the value line business, we felt that it was going to be difficult. Therefore, we reduced the sales unit forecast for the full year. That's the second reason. And the third reason, a significant reason, is significant change in the market environment in the regions that we are expecting to do well or the products. We were not able to increase the top line by -- on the strength of the competitiveness with our products. We took -- we became aware of that. And therefore, as we review the MRP, we are going to change or review the strategies and actions as well. 
Eiichi Katayama: So I don't think you have changed the full year forecast downward much. But still, this impairment risk with the Mobile business, did you say what you just say because you could not be too certain about the strength of the Mobile business? 
Kenichiro Yoshida: Well, the release says it all. We've started to revisit our MRP, and some of us here are doing an MRP depending on the results of that process, reviewing the MRP. The asset impairment, including impairment of the goodwill, might have to be taken as our decision now. And we thought -- today, we thought we better communicated that possibility to you. 
Unknown Executive: Next question, please. The person in the third row. 
Yasuo Nakane: Nakane from Deutsche Securities. Two points. IP&S and, again, the full year forecast. In view of the progress during the first quarter, I see a possibility of upward revision. And can you make it more distinct? For instance, Game, there may be costs during the second half, so you cannot clearly say that it will continue as such. So -- and your other characterization of the specific business. And the second point again, Mobile. First, the Page 8 of the material, after second quarter onward, the forecast, the unit sales trend and sales trend and operating income trend, from JPY 2.7 billion negative from first quarter, what would be the likely trend going forward? And you mentioned that marketing and R&D expense reduction, but how much are you -- reduction are you planning to achieve the breakeven? Now in conducting a review this time, would it include the restructuring like -- and cost of restructuring? Would there be such measures which should incur the restructuring costs? 
Kenichiro Yoshida: First, IP&S and Game and the outlook for the segment. You mentioned that there may be a likelihood of upward revision, and I'd like to ask Totoki [Japanese] to respond. 
Hiroki Totoki: First, IP&S. For first quarter, the profit was very sound, as you pointed out. Then where did such profit come? So one is cost reduction. That was one of the drivers. Without increasing so much of our top line, but rather, we have strengthened the -- our structure, and the contribution came from cost reduction. So we will -- we continue to take cautious look at this. About the Game business, as Yoshida [Japanese] repeatedly mentioned, for the current fiscal year, centering on PS4, we will continue to increase the installment base and also to secure as many active users as possible. So these are the selling tasks for us in the current fiscal year. Therefore, rather than to work on the bottom line, but to take measures to achieve the MRP growth. Concerning the second question. Against the deficit of first quarter, what's total of our plan? We have from second quarter onward to achieve breakeven for the full year in Mobile. And also, the fixed cost and operating expense like marketing and others what's -- was our plan. Now concerning the Mobile business, there is the ordinary seasonality, in other words, the major peak in sales in the third quarter. Therefore, we have incorporated the improvements towards the second half. And the -- concerning top line, as Yoshida [Japanese] mentioned, in the volume zone model, during the first quarter, we could not achieve the sales as we expected. Therefore, from second quarter onward, our forecast is downwardly adjusted, centering on the value zone. And when top line is declining, the sales and marketing expense and other expenses will be contracted, and to -- and we'll take such measures of cost reduction. And then for the full year, the cost reduction may not be sufficient to fully offset the impact of the unit sales decline. 
Yasuo Nakane: Yes. Final question, that is if you're going to review the measures and actions. There may be some restructuring impairment costs like you have done on TV. Should we expect that? And also, for this year's cost reduction, what is the scale? Could you give us an indication on that if possible? 
Hiroki Totoki: First of all, concerning restructuring, we are now asking them to come up with the menu as soon as possible. Therefore, there is nothing definite yet. But I would like to see that since this is a year to complete our restructuring efforts, therefore, even if it is Game with the growing sales or Mobile which is growing, there is some restructuring that can take place. Therefore, not on the sales companies or the head office. But if there are things that can be done on the -- for the future purposes, we have asked these people to come up with the possibility area where that can be done. Now concerning the fixed cost -- or actually, the operating cost, for the advertisement and the sales promotion and marketing, it will go down along with the decline in the sales. For R&D, after the second quarter and onward, we are not going to be increasing. That is what we plan. As for the actual amount, compared to the budget, we will reduce the amount as well. That is the present plan. 
Unknown Executive: In the front row, yes? 
Junya Ayada: From Daiwa, Ayada. I have 2 questions that I would like to ask. First is on Mobile again. I would like to confirm, you talked about the possibility, the risk of the impairment of the goodwill, a further restructuring cost, and there is JPY 140 billion that you anticipate may be lower due to these reasons. Is there such a possibility? May I confirm on that? 
Kenichiro Yoshida: At this point of time, whether there is going to be an impairment charge or not is not clear, not certain. Therefore, I cannot give you any definitive response. I am saying that there is a risk. But if it surfaces, then it will have a potential impact on the full year results. 
Junya Ayada: My second question is Electronics sales and profit. After the second quarter, the general image, in the first quarter, I believe that you have seen a significant amount of profit. But as you move towards the second quarter, there are restructuring costs. But excluding that in the second quarter for TV and IP&S, well -- or I believe, for Device, there will be increase in profit. But for the electronics as a whole, would you give us a general image as to what it would be for the profit? 
Hiroki Totoki: After the second quarter, what would be the Electronic profit in each here of the different segments. Earlier, Yoshida has already explained that for the past several years, for the first quarter, including the Electronic business, we recorded a profit. And reflecting the seasonality of our business, or our company for the third quarter, there will be a large sales and profit that we expect each year. And as we move towards the fourth quarter, there is a switching of a new model. And as a result, we often generate a loss. So those seasonality does not change. So we would probably see the situation that would follow the general seasonality for the Electronics. 
Junya Ayada: After the end of the first quarter, when you look at the inventory and distribution for camera and TV, is your impression that you have more inventory than usual? Or is that not necessarily a concern? 
Hiroki Totoki: As of now, there are may be some variance depending on the region. For example, in China and in the middle -- in the Central and Southern America, the sales was underachieved compared to the original budget. And in those area, there is a temporary increase in the level of inventory. But after the second quarter, it is normalized for those seasons. So I think we are following the budget. 
Unknown Executive: Next, the gentleman in the first row, the central section. 
Hideki Yasuda: Yasuda is my name for Ace Economic Research. I have 2 questions. I'll ask you one by one. First of all Game. The sales, the upward revision of JPY 26 billion and operating income upward revision of JPY 5 billion and sales, particularly, the PS4. But you haven't changed the number of the units of PS4 sales so far. So where does this increases come from? And also, the cost reduction has been made, so that the negative margin is no longer the case. But on a quarterly basis, the first and second and third quarters, with increasing volume, the cost will naturally, will decline. Are you assuming that cost reduction will increase the production with the each passing quarter? 
Kenichiro Yoshida: First of all, the volume of the units remains the same. They're not changing. But Network-related sales and also software sales and the mixture of PS3 versus PS4 will change. And combining all those factors, the sales will and are rising. But in the meantime, we're working on cost reduction, and we'll continue to do so. We have been realizing what we've intended very smoothly. But then, PS3 versus PS4, the measure is different. We have changed that from May not in a significant way. And cost reduction, the cost will be down as the production will increase. That's what you are looking at? 
Hideki Yasuda: Yes. Then my second question is about smartphones. The Corporate strategy session. Actually, that MRP number shouldn't -- not have been announced because especially that there'd be downward revisions. And indeed, today, I've heard you were making down revisions. And I think you are going to pursue not scale, but profitability. But smartphones is a business where you have to have a horizontal division of labor to pursue indeed profitability. What is your business program you are pursuing? And I think you -- one of the things you said that you go to regions where relations with the carrier operators is very close and very good. But in Japan, the freeing up of a SIM lock will change the business model, which has worked so far. Do you not have to assume that might affect your business going forward? 
Kenichiro Yoshida: Your first point was, do we not have to pursue scale? Well, I think we already have some scale, certain scale, the size of the business. But the brand image that we enjoy in different countries or the relationship with carrier operators in these countries, we are more focusing on those, so we believe that's a more -- an important factor in terms of making success in these countries. And your second question, the impact of the freeing up of the SIM lock. There will be an impact, but more impact will come from points of the movement of MRP is now weaker. That is a factor that's giving us some more effect. Even if the SIM lock is released, whether the financing will be available to customers using the release of SIM lock, the SIM providers will not be able to provide financing. So there is some change, but -- and the change will not occur overnight so very suddenly. 
Unknown Executive: Next question, the person in the first row. 
Takashi Watanabe: Watanabe, Goldman Securities. Two points. The first point concerning Mobile. Your revision this time, the point of confirmation to see if I -- my understanding is correct. The numbers and the budget sent by business unit was disclosed, and that covered a value zone forecast, but the outcome was decline. And so the downward revision, and there will be efforts to reduce the fixed cost. That's the right way of understanding. 
Kenichiro Yoshida: Yes. 
Takashi Watanabe: In such case, my second question, going forward, when we look at the smartphone industry, the value zone is expected to grow. And in the high end, the unit would not increase. And then in the developed countries, the repurchase cycle may be prolonged, and there may be risks there. If that's the case, smartphone business itself may become stagnant or may start contracting. Then excluding Games and Device, the smartphone hardware is the -- one of the rare growing hardware business. If that's -- I mean, if that's the case, so the Electronics business as a whole may stop growing, and IP&S profits were better because some people moved to Mobile. So if the Mobile business becomes stagnant, for Sony as a whole, there maybe a stronger need to revisit and review a fixed cost over the medium range. So when changing the Mobile strategy, that would link to the change of strategy for Sony Electronic as a whole. So what's your image of reducing fixed cost for business as a whole? What's your reading? 
Kenichiro Yoshida: I would like to make some comments, followed by Totoki [Japanese] comments. First, for Sony Mobile business, mark-for-market, Sony is trying to target, I think, is maturing, and we should take such assumptions and formulate a business strategy based on such assumption. That would be a better advice. For Mobile also, going forward, there is room for restructuring. We should look at that, and I ask the Mobile executive and the management to put forth such proposal. Smartphone, Sony will attack, will be a maturing business. And so as I said, that, I think, is the better advice approach for us with the Mobile business. Already, concerning the market estimate, in monetary value, the group -- some expect the gross rate would be 1 digit, and then the price zone will shift from the past. So probably, the market will not continue to grow on a monetary value basis, and such assumption would be robust. But the Electronic's structural reform, apart from what happens to smartphone, the structural reforms of Electronics business as a whole is something we should be doing in any case. And so whatever we are doing now, we will complete the process in -- during the course of fiscal '14. And as I have been saying, we are asking the business unit side to come up with the additional ideas to further work on, and we will incorporate such additional structural reform efforts. So along with the market change, we will optimize the cost structure on our side. 
Unknown Executive: Any other questions? Yes, in white shirt, in the front row. 
Atsushi Uno: From Nomura Securities, Uno. In a sense, I may only have 1 question. In the material today, the goodwill numbers for each of the segments indicated, it's on Page 17. When there is impairment charges, not only the goodwill, but design and others might be involved, and the deferred tax payment amounts may be reduced. So aside from the goodwill, other assets, how are they are sort of connected to the different business? For each segment, how big are each of the item on these accounting statement? Also, you talked about the review of the Mobile business. When would you be able to announce the general direction of the result of the review? Are these going to the midterm result announcement in November? And would that be the timing? Or would you want to actually announce that earlier because of the need? 
Kenichiro Yoshida: Thank you very much. Concerning the first point, I do not have a --- I will not be able to respond. For each of the segment, the fixed asset, as well as the goodwill and its breakdown, yes, we do have the disclosure on the segment basis. So we have the fixed asset, tangible and non -- intangible. I believe that is how you should understand it. Deferred tax asset, rather than for each segment, it is the entire corporation. So it is not for any specific segment. Then I understand, but then regarding the timing. The timing of the review, at this point, although I cannot give you a definitive response, but we hope to be able to do this as soon as possible, as early as possible. It means that, there could be -- it could be earlier than the announcement of the mid-year results. 
Unknown Executive: We do not have much time left, so I'd like to invite the next quick question, which will have to be the last question. I see a hand in the second row. 
Masahiko Ishino: Ishino with Advanced Research. Two points. First, about the Game, and the other question is about Devices. First of all, the Game business, top line, you are doing very well in top line. And PlayStation 4 sales, can you detail for us how you are doing in terms of the number of units? What's happening in terms of sales of PS4? You've made a lot of investment, and you've -- you know that in doing this that the cost of service will be high, and this year will be the time of the advanced investments. So I'd like to ask you, what's the cost that you're incurring now? And what are the profitability for this year? Because sales are up compared to last year, one would assume the income -- the profits should be higher, but not so, as I look at the numbers. So what's the situation, the problem, shall I say, that you may be facing with the Game business? Can you give us more detail? And as far as Devices business is concerned, same also for semiconductors, what's the development in the market? And the smartphone area is growing faster, and the smartphone business is maturing also, are CMOS maybe maturing as well? Or is it still growing? You are investing in this now, and I would like know your position on this. And also the batteries business, the batteries business and the profitability of that business, are we to expect perhaps changing for this quarter and for the full year? 
Kenichiro Yoshida: First of all, Game business, I don't think I can answer your question fully, 100%. But the market for Games in Europe or the Americas, I think the market is growing because multi-platform PlayStation title Watch Dogs  was released, not just for PlayStation. But just 1 example that market is going more brisk than ever, Xbox One reduced their price tag. So the total size of the pie, the total pie is increasing now. I cannot give you details about the number of sales of the consoles. Now about the cost, the question about the cost. This year is a year of advanced investment, as I said, so you have to make another round of investment in systems. As you know, the PlayStation 4 got a social networking function, and the number of sessions that people engaged in is so huge, much larger than before. The cost of network and the server cost is about a cost higher and, therefore, the requirement for a further investment that we have to make. As far as Japan is concerned, we don't have a full lineup of software available. That's probably the largest challenge or issue for Japan as far as Japan is concerned. And about CMOS, the question, Mr. Totoki, can you comment? 
Hiroki Totoki: Right. It's smooth going as far as CMOS business is concerned. It's being driven by big demand, the same with smartphones, no doubt about that. And for this year, the CMOS sale division is likely to continue. That's our forecast. That's why we are revising the numbers upward. But in the days ahead, what's going to happen, some smartphones, not just 1 sensors, but multiple sensors will be carried or installed in some smartphones, which in itself provides [indiscernible] that will be another, as we mentioned before. But in any case, smartphones or this business, being what they are, the market changes very rapidly. We have to be always aware of that and be very cautious about our business approach. And your last question about batteries. The batteries business, we are in full operation mode. As far battery is concerned, we are having a hard time catching up with the orders that we are getting. But still, it's still losing a bit of money, not breakeven. But for the full year, we will turn the things around to be profitable. 
Unknown Executive: And then the time has arrived. And with this, we would like to conclude the session. I'd like to thank you very much for being with us despite your very busy schedules.